Operator: Good day, and welcome to the Bally's Corporation Second Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I'd now like to turn the call over to Jeff Chalson, VP of Corporate Development and Strategy for Bally's. Please go ahead, sir.
Jeff Chalson: Good morning and thank you for joining us on today's call. The earnings release and presentation that accompany this call are available on our website in the Investor Relations section at www.ballys.com. With me on today's call are Chief Executive Officer, Robeson Reeves; George Papanier, Bally's President; Marcus Glover, Bally's Chief Financial Officer; Jama Patel, Bally's Vice Chairman; and Charles Diao, Bally's Treasurer. Before we begin, we would like to remind everyone that comments made by management today will contain forward-looking statements. These forward-looking statements include plans, expectations, estimates and projections that involve significant risks and uncertainties. These risks are discussed in the Company's earnings release and SEC filings. Actual results may differ materially from the results discussed in these forward-looking statements. In addition, during today's call, management will refer to certain non-GAAP financial measures. Reconciliations to the most comparable GAAP financial measures are included in the schedules contained in our earnings release. We do not provide a reconciliation of forward-looking non-GAAP financial measures due to our inability to project nonrecurring expenses and onetime costs. Today's call is also being broadcast live on our investors website and will be available for replay shortly after the completion of this call. Let me hand the call over to Robeson.
Robeson Reeves: Thank you, Jeff, and hello, everyone. This quarter saw Bally's making strides with new initiatives and achieving project milestones setting a strong foundation for 2023 and beyond. Our core casino and resorts business produced record-setting second quarter revenue and EBITDA results with improving margins. International Interactive remained solid, led by the U.K., which also produced record-setting second quarter revenue results driven by market share gains. North America interactive iGaming continues to ramp up positively as we see the benefits of Games technology taking hold. We have made significant progress transitioning Bally Bet onto the Kambi and White Hat technology platforms, which is on track to roll out this summer. We intend to be live in three states by summer's end and at least seven states and four retail locations, two are already operational by the end of 2023. With that in mind, we are pleased to reiterate our full year earnings guidance. We expect somewhat better performance from our core casinos and resorts and international Interactive businesses versus our original expectations. Slightly offset by an expected additional $10 million in costs in North America Interactive at the midpoint of our range, relating to our Pennsylvania iGaming launch, the transition of Bally Bet and some investments we have made in our omnichannel, including Bally Live. Though we expect some added development cost outlays in the second half '23, the spend is expected to reduce as we grow and scale the North America interactive business. Our confidence in our guidance is premised on our core businesses remaining strong. Our growth projects coming online and our North America interactive iGaming business continuing to ramp up. Earnings aside, once again, we have had a very active quarter in terms of our continued evolution of our company. We welcomed a new CFO, Marcus Glover, and a new Corporate Treasurer, Charlie Diao to our management team. Jama Patel, a long-serving Bally's board member has also seamlessly stepped into the role of Vice Chairman. Each has been a tremendous addition to Bally's and are working vigorously at integrating themselves into the Company, improving our culture and our workflows. I remain deeply impressed with our global team and the progress we continue to make integrating Bally's three businesses. On an operating basis, we've seen several positive catalysts with long-term company impact and continue to advance our announced development projects. As you all know, we announced the deal with the Oakland A as of Major League Baseball and our partners at GLPI for the A's as to relocate their stadium on to nine acres of our Las Vegas Tropicana site. We couldn't be more excited regarding this transformational one-of-a-kind development project, along with the option value and long-term opportunity this announcement represents and has created for our company. While the planning process is only in the beginning phase, we'll share additional details as they emerge over the next 18 to 24 months. We closed on the acquisition of Tropicana in late September of '22 and have already materially increased the value of this asset, a testament to our management team's creativity and ingenuity. Next, we have made tremendous progress on the development of our temporary casino at the Medinah Temple in Chicago after receiving preliminary suitability from the IGB in early June. The project remains on schedule for a September opening, which is estimated to generate $50 million to $60 million of EBITDA in 2024. The feedback we have received from those who have toured the development has been quite positive. As for the permanent facility, we were successful in negotiating a deal with the Tribune Company to vacate the building by mid-2024 so we can begin the development of the casino at that time. We continue to expect the property to be opened in 2026. We remain confident in the significant pent-up consumer demand for this project and eagerly anticipate generating results. In late April, we completed our renovation and expansion of our marquee Twin Rivers property in Lincoln Rhode Island, and we are progressing towards completion of our Kansas City properties transformation. Both capital projects should be significant contributors to our organic growth for years to come. Additionally, the smoking ban that was implemented in Shreveport, Louisiana in 2020 was repealed beginning in June. We believe this will be an incremental driver of performance for the property as its competitors just across the border in Bossier City do not have a smoking ban. When the smoking ban was initially implemented, business fell over 20% from its peak and is yet to fully recover. As for the U.K. white paper, which was released in late April, we continue to review the proposed measures and will work constructively with both the government and Gambling Commission to find an effective solution, which ensures that reforms are appropriate and guarantee a safe and sustainable future. As we discussed on our last earnings call, we're in a strong position as we've been preparing our business strategy in compliance for some time. We embrace regulation and recognize that gaming is a public-private partnership. At its core, our international Interactive business is performing very well, especially in the U.K., where we continue to gain incremental market share. The regulatory environment in the U.K. challenges smaller competitors causing Suntoleave. This allows compliant larger entities to consolidate the market and expand their reach. Next, we launched iGaming in Pennsylvania in early June. While it's still quite early, we are pleased with the initial results. We believe our early performance in PA is a result of strong brand recognition and database. We are only scratching the surface of our player database omnichannel opportunities. Further, the Rhode Island legislature passed a bill to legalize iGaming in the state, naming Bally's as a sole provider. This is a very positive development given our foothold in the state and our seasoned database. We thank the Rhode Island legislature for being such great partners. It is anticipated that we'll launch in March of 2024. Heading into '24, we are also excited about the prospect of launching the Bally's brand and online sports betting internationally. Post our Bally Bet rollout, we'll be back on a path to diversify our revenues and EBITDA streams with ample cross-sell opportunities between our retail and digital businesses. This, in turn, will support our vision of becoming a premier, full-service, vertically integrated Casinos & Resorts iGaming and online sports betting company, allowing us to leverage our Bally's brand globally. Turning to our operating segment's quarterly results. The Casinos & Resorts segment continues to trend well even with certain properties facing incremental competition as our core Casinos & Resorts customer remains resilient. While we're keeping a close eye on spending trends and the health of our consumer generally, we are pleased with our overall portfolio. We generated record 2Q revenues of $333 million. That's up 11% year-on-year and adjusted EBITDA of $111 million, that's up 12% year-on-year, as George and his team continue to drive performance. We are seeing the benefits of the property improvements, reporting systems, centralized procurement and cost controls implemented throughout the portfolio taking hold. Importantly, as we discussed earlier this year, our core portfolio's near-term CapEx cycle has peaked as several of our growth projects have come to or are nearing completion. We expect to continue delivering consistent operating performance from this core. International Interactive had a strong second quarter and is off to a robust first half of the year with continued algorithmic marketing optimizations taking place. The U.K. business continues to be the main driver of our performance, growing 12% in the second quarter, well ahead of the market. The formula of ARPU up, FTDs up while CPA is down significantly, continues to play out and drive performance. In Asia, we continue to look for stabilization after several months of increased volatility and performance. We've implemented changes and are working diligently to address this. International Interactive margins have settled in the low mid-30s, and we believe we can sustain margins at or above these levels. This is inclusive of our plans to reinvest in our core U.K. and Asia businesses, and we continue to see growth opportunities in Europe, Asia and rest of the world with a focus on Brazil, including launching the Bally's brand and OSB in 2024. Turning back to North America Interactive. We remain keenly focused on growing our iGaming footprint. Our share in New Jersey continues to creep higher since surpassing 4% in the first quarter, and we remain on track to achieving our 6% to 8% longer-term share goal. We are working on building our presence in Ontario, and we're excited about the results we've seen thus far in Pennsylvania since launching in early June. Overall, our iGaming business is generating positive returns, and we are optimistic. We also look forward to the recently passed iGaming legislation in Rhode Island, a potential long-term game changer for our iGaming business. In summary, our goals for the remainder of 2023 and into 2024 include: open the Chicago temporary casino in September, growing North America Interactive iGaming market share profitably, roll out Bally Bet beginning this summer with our new technology partners, harness our omnichannel data capabilities and grow the Bally's brand globally, including OSB. In addition to our growth initiatives, it is important to emphasize that our team remains focused on growing our revenues and adjusted EBITDA for our core casinos and resorts and our international Interactive segments, and again, are reiterating our guidance for the full year. Before turning to Marcus, I'd once again welcome him to the Company.
Marcus Glover: Thanks, Rosen. As you all know, this was my first quarter as the CFO of Bally's after spending nearly two decades in the industry in a variety of leadership positions. A couple of months into my tenure, I reviewed each of our business segments and had the opportunity to meet some of our investors. As an organization, we remain focused on integrating and improving our operating and financial performance, managing our development pipeline and growing our international and domestic iGaming businesses. Later this summer, we will also begin rolling out our Bally Bet OSB business in the United States. We have several amazing new opportunities ahead of us, and our team is centered on executing against these priorities. For the quarter, we generated record second quarter revenues of $606 million, which is an increase of 10% year-on-year. Adjusted EBITDA of $161 million and adjusted EBITDA of $130 million after accounting for rent expense of $31 million. Our adjusted EBITDA margin of 26.6% and our adjusted EBITDA margin was 21.5%. We are pleased with how our Casinos & Resorts portfolio performed with strength at our Rhode Island in Kansas City properties, offset slightly by some headwinds experienced between Atlantic City, Tropicana and Las Vegas and Evansville, which we are working through. Irrespective, we are pleased with the resiliency and performance of the Casino & Resorts segment within the quarter. Overall, Casinos & Resorts reported revenues of $333 million, which is an 11% year-on-year increase and $111 million of adjusted EBITDA, which is a 12% year-on-year increase. Excluding Atlantic City and Tropicana, which are lower-margin properties, EBITDA margins were a solid 39.4% for the core portfolio, including these properties, EBITDA margins were 33.3%. International Interactive generated revenues of $248 million and $84 million of adjusted EBITDA at a 33.9% margin. Results were driven by impressive strength in the U.K., a result of our content and marketing optimizations. The U.K. was up a robust 12% for the quarter in both dollar and British pound while international increased 6% overall. We will continue to invest in the business while also exploring opportunities in other geographies as we had discussed in the past. There is opportunity for responsible growth and to expand the Bally's brand and OSP capabilities throughout these markets. Our long-term International Interactive adjusted EBITDA margin target remains in excess of 30%. North America Interactive generated revenues of $25 million and negative $18 million of adjusted EBITDA. We are very happy with our performance in iGaming, particularly in New Jersey. New Jersey gross profit contribution is approximately a little over $1 million a month and growing. We continue to work on building out our presence in Ontario, and we launched in Pennsylvania in early June. The initial results have exceeded our expectations, and we are highly anticipating the launch of iGaming in Rhode Island in March of '24, where we will be the sole provider. Our iGaming business is generating positive contribution margins, which we anticipate will continue to strengthen. Turning to OSB, as Robeson mentioned earlier, we incurred additional costs in the quarter of approximately $7 million versus first quarter, including our launch in PA for iGaming. We look forward to the transition of Bally Bet and the rollout onto our technology partners platform, Cambian White Hat gaming. The rollout schedule will begin in three states this summer and at least seven states and four retail gaming locations by the end of 2023, two of which are already live. We also intend to leverage these partnerships in onto SB in the U.K. and in Europe in 2024. Additionally, we made small IP content-related investments in Minor League Baseball and other properties to build out our Bally Live omnichannel initiative. We believe Bally Live will prove to be a solid customer acquisition tool and future revenue driver. Corporate expense for the second quarter came in at $16 million. This remains slightly elevated as we are still managing through some short-term cost impact, though we are confident in expense reduction measures moving forward. On an operating basis, with the exception of a few instances mentioned, we haven't seen a significant change in consumer spending patterns at our Casino & Resorts. That said, we are keeping a close eye on general economic conditions. As we anticipate change in customer behaviors and/or spend, we have levers at our disposal in order to maintain our strong margin profile. With that in mind for the Company overall, we are maintaining our guidance for 2023. Recall our forecast is for us to generate between $2.5 billion to $2.6 billion in revenues and $665 million to $700 million in adjusted EBITDA. This now reflects a loss in North America Interactive of $50 million to $60 million, a $10 million increase at the midpoint. We expect some additional development cost outlays in the second half of '23. Though the spend will reduce as we grow in scale of the North America Interactive business. Our full year estimates are driven by our growth projects within Casino & Resorts and International Interactive businesses remaining strong as we are confident in our global business. This begins with the Chicago temporary facility opening in September and the completion of our Kansas City expansion project later in the third quarter. Additionally, we will benefit from a full quarter of our Twin Rivers renovations and expansion as well as recently announced smoking ban reversal in Shreveport, Louisiana. This also considers our belief that the white paper release by the U.K. government will have a material impact on our international active financial results and that FX will remain constant. We are also maintaining our 2023 capital expenditure guidance of $160 million, excluding Chicago, with maintenance CapEx at casinos of about $50 million in growth CapEx and casinos of about $70 million. During the quarter, we repurchased approximately 748,500 common shares for an aggregate purchase price of $10.7 million. At the quarter's end, shares outstanding were about $45.6 million, and we have incremental warrants options and other dilution of approximately 13.1 million shares. 58.7 million shares outstanding is the right way to look at our capital structure. We have more than $184 million of cash on our balance sheet. The reduction in cash versus last quarter is a result of us restricting cash for the Tribune payment and $3.2 billion of net debt. Lastly, I would like to reiterate my enthusiasm to be part of the Bally's team. The pipeline of projects we have ahead of us in all three of our operating segments are exciting and aligned with our strategic direction and focus. Casino & Resort development and expansion anchored by our Chicago project, enhanced value we have created in Las Vegas regarding the Oaklane Stadium transaction. Our iCasino growth trajectory domestically, particularly in New Jersey, Pennsylvania, Ontario and now in Rhode Island in addition to the rollout of Bally Bet, the continued consolidation and rationalization within the International Interactive, particularly in the U.K. and continued focus on our balance sheet through maximizing our working capital and addressing the untapped real estate value in our portfolio. Thank you all for listening, and let's now open up the call for Q&A. Operator?
Operator: [Operator Instructions] We'll take our first question from Barry Jonas with True Securities.
Barry Jonas: Actually, maybe I'll start with Marcus. Can you talk a little bit about how your transition on quarter end is going? Do you have a sense what's on track in your head if there are some things you may want to adjust?
Marcus Glover: Yes. Thanks, Barry. It's been actually a whirlwind and exciting at the same time. Our early indication is that I'm joining a very, very impressive team. As you can see in the results, both on the C&R side as well as the International Interactive side we continue to exceed our expectations and perform and the teams are working very hard to not stay static in that performance. And so what George and the Casinos & Resorts team has been able to do on the C&R side with the margin profile that you guys see in our results and continue to maintain focus on our development pipeline as well as what Ropes and the team have done overseas, specifically in the U.K., it's a quite impressive team, and we continue to prove we get the most out of the assets we have to manage. And so very impressed and remain excited to join this team.
Barry Jonas: Great. So I guess with that, I'm curious how you guys are thinking about capital allocation here, specifically the path to deleverage. You've got the Chicago permanent spend coming up. And then I wanted to get your thoughts about how Tropicana spend weighs into that path to deleverage.
Marcus Glover: Yes, I'll start off with that, and then anyone can chime in. I think right now, Barry, our focus is on our development pipeline with Chicago anchoring that. We feel pretty good about our pathway and some of the early diligence we perform on moving that project forward on a permanent standpoint. As it relates to Tropicana, that pathway is pretty far out, and we feel confident as we move forward with the Chicago firm that we'll be able to solve for Tropicana, not just in the proper development but also in the underwriting of that project as well. But we remain encouraged with the optionality that, that project provides us right there on probably the most visible and most traffic corner in the Las Vegas strip.
Barry Jonas: Got it. And then if I could just squeeze in one more. iGaming in Rhode Island, I think, really exciting should be interesting to see in the sense that you're the only land-based and online operator in the state. But can you maybe talk about how you think about the potential for omnichannel driving higher spend levels from customers, but also potential risks around online cannibalizing land base.
Marcus Glover: Yes, I'll take that. Everywhere we've launched and we've seen iGaming alongside casinos and resorts, it's just a different form of engagement. We've seen spend layering on top of one another. This protects us in different times as well. Our biggest growth time there's, call it, seasonality big storms or whatever in bricks and mortar, we will definitely see significant growth into iGaming. It won't cannibalize, it's additive. People engage both at home and they socialize more in the retail establishment. So we see this as totally incremental. We are sole operator. I'm very excited about Rhode Island. I think it will be material in driving our iGaming performance and actually North America in tracted business.
Operator: We'll take our next question from Jordan Bender with JMP Securities.
Jordan Bender: Great. In New Jersey, your market share in IT has been sitting kind of in that 4% range maybe year-to-date. Can you just kind of bridge us to how you get to your targeted 6% to 8% range? Does it come from the technology side, the product offering? Or do you need to kind of get a little more promotional within that market?
Marcus Glover: It's going to be driven by how much we can utilize our retail casino database, so more omnichannel, but also significantly, it's a product offering upgrade. So the addition of sports will bring new audiences in. As we know, people bet on sports, but they always bet on iGaming, too. So we see that as the funnel. As we introduce sports into New Jersey, we'll see our share growth.
Jordan Bender: Great. And then for my follow-up, it's been a little bit of time in Atlantic City since we've seen what that property can generate just given the CapEx in COVID and your takeover of that property. As we hit the high season here during the summer, like how should we think about that return and kind of how do -- where do we sit in the time line of the full return on that property?
George Papanier: Sure, Jordan, this is George. I'll take that. Since we relaunched on Memorial Day 2022, we've had a good -- we had a good summer in 2022, and we continue to ramp the property through the first half of 2023, beating all our expectations. So we're feeling good to see profitability in 2023. And just in July, we want to take July, it was our record month since the acquisition of Atlantic City in both revenue and profitability. So we're feeling good about it.
Operator: We'll take our next question from Dan Politzer with Wells Fargo.
Dan Politzer: First, I wanted to dive a little bit deeper into North America Interactive. Obviously, expenses ticked a little bit higher in the second quarter. It looks like you're just flowing that through to your guide. But I guess as we think about the back half of this year into 2024, with the focus on iGaming, Rhode Island coming on, the more continued investment in New Jersey, how should we think about, I guess, the EBITDA ramp? And maybe if you could break out is sports betting profitable today versus do you think it could be profitable? Or do you really look at that more as a funnel for iGaming?
Marcus Glover: I look at sports betting much more as a funnel. We will be prudent with our investments when we go into sports. With regards to our estimates on North American tractive increasing, it's essentially our balance sheet cash flow spend comes down sooner. The P&L expenses will come down, but it's not in the same linear way. Yes, we absolutely will be prudent in North America Interactive, but are very confident about the iGaming opportunities. Pennsylvania has performed well from a launch perspective. We will balance that out from a tax perspective to make sure that we throw off good profitability and time. We're very good in mature, high tax, heavily regulated markets, as you see from our performance in the U.K. So I feel very confident that we'll be able to control and guide North America Interactive. We have significant levers to pull.
George Papanier: Yes. And just add to that, [indiscernible] up well. I think sports is a great launch to engage our customer base, but we will be very prudent and optimize marketing expense as we move forward. Obviously, we have some media partnerships and some rev share agreements that take shape in that segment. But we will be very, very prudent as we move forward with the focus keenly on iGaming and the upside in those markets, specifically New Jersey, Pennsylvania and then soon to be Rhode Island.
Dan Politzer: Got it. And then for my follow-up, if we could touch a little bit on Chicago. How do you think about kind of the cash flows this year, next year and into the coming years coming leading up to the build-out of the permanent facility. And I guess on the back end of that, how are you thinking about the possibility of doing a sale leaseback for that property and maybe bringing back into some of that capital? Just given that's something you've talked about as it relates to your other owned properties within the portfolio.
Marcus Glover: Yes. To answer your question, maybe not in order, but obviously, sale-leaseback with our unencumbered real estate remains an option. We're exploring all options. And so we'll continue to engage along that path pretty responsibly. In terms of how we think about coming up with a firm decision on that, obviously, are construction doesn't begin until second quarter of next year. Tribune didn't get out of their space until July of next year. And so as we get a little bit closer to that date, we'll have a more definitive answer for you around CapEx and how we see that playing out in terms of underwriting.
Dan Politzer: Just in terms of the cash flows this year, next year for Chicago, any kind of way to think about that?
George Papanier: Yes, this is George. I'll give a little guidance on that. Obviously, we are continuing to be very focused on the opening of the temporary casino, and that looks like it's going to be in September. We've actually increased the scope of the original temporary projects. So we feel there's nice upside to that. I think we were out there with about a $50 million run rate. We're increasing that to $50 million to $60 million annually. And hopefully, there's some continued ramping of that as we build towards the opening of our permanent facility.
Marcus Glover: Yes. And just right now, we have baked in. Obviously, we're, I think, a little delay from what we communicated to you last time on opening, but you could probably for the rest of this year, estimate out somewhere between $3.5 million to $5 million a month in terms of impact once we open in the Chicago too.
Operator: We'll take our next question from Chad Beynon with Macquarie.
Chad Beynon: Robeson, I wanted to ask about International Interactive, the strong 12% growth that you posted in the U.K. You outlined kind of what's going on in the market. You do have some tough comps in the back half of the year, just how strong the growth was in that region in 2H '22. Can you help us think about seasonality? What's going on in the market? If you still have additional tailwinds from what you talked about from the fragmentation from the white paper. Just trying to get a sense if this can still be a mid- to high single-digit growth market going forward.
Robeson Reeves: I have confidence that trends will continue. We are still taking share from smaller players and actually some bigger players too. We'll still see the same sort of low to mid-30s as margin. The consolidation in the market will continue to track on, and we're seeing high volumes of new customers coming into us, which is a great tailwind, which will boost us forward. We don't see that trend going away. The introduction later of sports betting, as I described for North America Interactive will widen the funnel of acquisitions. So I see genuine growth in a mature market. As I said, we were great mature by tax, heavily regulated in competitive markets. That is true for interactive, that is true for bricks and mortar. So I'm very confident in our future in our core markets. They're very robust and we'll build out other growth opportunities.
Chad Beynon: And then, Marcus, on the Lincoln option, I know that you extended it with GLPI from '24 to 2026. Can you just help us think about the thinking there? I guess if -- in terms of when you could potentially transact as you mentioned, you have a lot of things going on, a lot of growth and maybe it's not the right timing, but just provide a little bit more color there would be helpful.
Marcus Glover: Yes. The progress with those discussions continue to remain active. Obviously, we have a great report with our regulatory body in Rhode Island, and we're in discussions now with them about timing of when that makes sense. And so that remains a viable option for us that we will continue to engage on. And at the right time, we'll have something to communicate to you guys about that transaction.
Operator: We'll take our next question from Jeff Stanial with Stifel.
Jeffrey Stantial: Starting off on the brick-and-mortar business. Marcus, you mentioned some headwinds for Atlantic City, Tropicana and Evansville in the prepared remarks. I think George covered Atlantic City a bit earlier during the Q&A, but I was hoping you could just expand a bit more on the trough in Evansville, just what's going on at those two properties? How much an EBITDA headwind as it improved and kind of what are the efforts underway to get those back on track?
Marcus Glover: Yes. I'll pass it to Joe -- I'll start off with some remarks and then pass it over to George. I think in Evansville, it's just new competition, heavy competition within the hour or so drive in radius of that property. And then Trop, as you guys can probably imagine with the announcement of the AEs option, there's probably a little bit of a knock-on effect in terms of uncertainty as it relates to customers and employees alike. And so the team is doing its best to make sure that we show strength and show certainty as much as we can in that market. But I'll let George add any more color commentary to that.
George Papanier: Jeff, thanks, Marcus. The only thing I'll add to that is in Evansville, the competition really started arriving in that market about two years ago. We've had some HHR competition in the neighboring states and Churchill just recently acquired the Ellis Park making some improvements there. But it's just been some erosion around the edges, and we've been working to mitigate that on the expense side of our business. So our margins are actually improving. So there's a slight impact there, and we'll retool on how we approach the competition in that market. Tropicana, listen, we acquired that towards the end of last year. We're actually ahead what we anticipated we would do there ahead of last year as well. And we ran into a headwind, which is really the announcement of the AD coming to our site, which obviously is very positive from a valuation perspective. But we're going to focus on the timing as it relates to the AEs actually arriving. I think they have one more hurdle. So we're waiting on them to see what their actual timing is, and we'll just react to that and manage the property accordingly up until closure.
Jeffrey Stantial: Okay. Great. That's helpful. And then stick in for my follow-up, sticking with the brick-and-mortar business. I was hoping you could just provide a bit more of an update and expand on the work being done around asset integration and cost containment is spearheaded by Jama. Can you just talk through maybe some examples of the more impactful changes being made. And if you could also frame out what you see as the eventual upside here, that would help as well.
Marcus Glover: Yes. One of the early parts of my assessment is just understanding where the right opportunity is for us. One of the phenomenon in the industry is this movement towards shared services and centralization. I think in my experience, having come from environments where that's been somewhat successful in other places would probably left some opportunity by centralizing too much. We're approaching this very carefully to make sure that we don't lose the very essence of what's made Bally successful thus far. George and team do a phenomenal job on the brick-and-mortar side of getting -- maximizing the operational performance at every property we have. As Robeson teed up earlier, we operate in some of the highest tax jurisdictions on some of the most difficult competitive circumstances, and we continue to maintain a very, very strong margin profile. So right now, we're balancing what should be shared service and centralized versus what we allow to remain at the property. And some of that is somewhat fluid right now. We expect to narrow that down and focus and opportunity. But the biggest upside is ensuring that the properties are able to maintain its entrepreneurial spirit and its nimbleness as it can take advantage of opportunity real time by having the right people in place at the properties. We feel good about the cost opportunities of dialing down some of our corporate expense. And we'll continue to manage that with a keen eye and be very responsible, but make sure that we allow our properties to do its best work by leading the things that make sense to leave at the property.
Operator: We'll take our next question from David Katz with Jefferies.
David Katz: One of the observations on the digital side for sports and iGaming also is that the U.S. market has been kind of transitioning from spending being a driver of business to product being a driver of volumes. Can you just talk about what you see as your key strengths or key competencies that will sort of help you be successful in that context and/or if you disagree.
Marcus Glover: Yes, I totally agree that it's about products, right? Product in the end will win out, but what is the product right? It isn't just about having a sports betting offering or the most games available. It's actually about how you utilize your data platforms. Our essence is about how we can analyze, understand the consumer needs test and integrate that into a product experience. That is the true capability, and that's what's driven growth historically for all of our interactive business because then you can spend more effectively to acquire exactly the right consumer and retain that consumer by communicating to them in their language with the right rewards at a optimized level. That is why we have accepted that, you know what, let's outsource our sports betting product, but we'll integrate our intelligence and our brain power to make sure it's the best possible experience for each user.
David Katz: That really sets up my follow-up question, which is how you're thinking about the aspects of the value chain you ultimately would like to own versus outsourcing and where you see the advantages one way or the other.
Marcus Glover: Yes. My view is before you reach scale, a lease model, it was very sensible how variable costs as you go to scale, it makes sense to actually have fixed costs. I see the greatest value in our offerings around omnidata massive believer in data, that's my entire background, and I know that you can -- that's how you win in the long term. That's how you get the best margins out of your business. I'll absolutely own data so we can make sure that we drive the best possible marketing through any platform that we utilize throughout our business.
Operator: We'll take our next question from Lance Vitanza with TD Cowen.
Lance Vitanza: Lots of moving pieces in the quarter, but virtually all of the shortfall in adjusted EBITDA, at least relative to our model, can be attributed to this incremental investment in North American Interactive. And I find that surprising given we've recently had a lot of conversation around outsourcing components of that business and really restructuring it and making it leaner and meaner. And so I'm just wondering, could you help distinguish between where you're investing in NA Interactive and where you are scaling back. And then, again, I think someone asked this earlier, I don't think I heard you answer, but when are you targeting the segment to get back to EBITDA positive?
Marcus Glover: Yes. The way I would answer that is our investment has been fairly intentional in a couple of areas. One is in our content for our Bally Live platform, which we think is very important. And then making sure that some of the overhang from prior platforms, we removed from our system. And so some of that has been write-off. But content and investment in our iGaming with understanding the variable component of our Cambie White Hat platform is where we're focused right now. And so in terms of getting to profitability, we -- hard to say that we'll get there by the end of this year, even into next year. We expect to reduce our loss significantly by second half -- by second quarter next year. But the focus is on continuing to build up this platform and our infrastructure so that we can be strong in the iGaming space and honor our strategic partnerships and media partnerships commitments.
Lance Vitanza: Fair enough. One quick second question for me. The share repurchase program, I noticed you bought some stock. Presumably, you also have flexibility to retire debt early. Is that the case? And your bonds are yielding over 11%, and you could capture some meaningful discount there. Are you able to be in the market and repurchase those bonds if you so choose? Or does your bank debt prohibit that.
George Papanier: Yes, we're able to. But I think right now, our priority as it relates to moving forward is our development pipeline and committing to getting Chicago online. We'll balance those priorities appropriately, whether it's equity repurchases and/or debt retirement. But to answer your question in short, yes, we are.
Operator: We'll take our next question from Ricardo Chinchilla with Deutsche Bank.
Ricardo Chinchilla: I was wondering if we could start with some housekeeping items. Can you please remind us the covenant for this quarter on an LTM basis, the regulatory leverage and how it compares to the covenant? And also, can you please confirm if you have used restricted payment capacity for the restricted cash that is allocated for the transaction with -- in Chicago. Just confirm that you guys didn't need to use a restricted payment capacity.
Marcus Glover: I think I heard the first part of your question was about I'll defer to Charlie Diao on this question. Charlie Diao Marcus, yes, I'd be happy to answer that. So in terms of regulatory covenant for Rhode Island were well within the 5.5x or approximately 5x. And with respect to -- we have not availed ourselves of restricted payment basket for investments in Chicago. We have -- I think that those were the two questions that you asked.
Ricardo Chinchilla: Got it. For my follow-up, given that you guys have mentioned that you could probably go to the market to get a loan to fund the construction. Is it safe to say -- to assume that that's something that you guys would do perhaps in the first half of next year? Or do you guys have any other plans for the loan just to fund these incremental properties? Charlie Diao Yes. I think conceptually, obviously, the Chicago is in the unrestricted group. So we are looking at different forms of financing that project. And given the -- as Marcus mentioned before, the trip isn't out of there until July. The hard cost start in preparation for maybe a second quarter at the earliest and then they're after in the back half of the year. So we will intend to finance that on a stand-alone basis. That's the plan, but we have time in order to do that. Obviously, specific construction plan that's in terms of timing of the spend and so forth. So that's a 2024 issue.
Operator: We'll take our next question from David Hargreaves with Stifel Financial.
David Hargreaves: The Twin River expansion, I'm wondering if you could give us some early color on what you're seeing and if there's any kind of reaction in terms of radius that you're attracting or frequency or returning customers? Anything you could share on trends since that was finished.
George Papanier: David, this is George. The expansion focused on when adding what I'll call, key elements to retain and/or retract slot and more so table games business from Oncor. So it was really skewed towards directing an influence towards that customer. And I got to tell you, the early results are a little better than expectations. We've actually -- you'll see it in the reports, we've actually increased slot business by a little over 4% since the expansion and table games, which is really our targeted focus were up over 7%. So we're feeling good about those results, and we're looking at this as an inceincremental to what we anticipated earlier.
David Hargreaves: That sounds great. Marcus, welcome. When we first met, you were running the MGM property in Detroit and all of the temporaries have done very well and all the permanent kind of struggled, and that was with a lower threshold of investment and a lower tax rate. So I'm just wondering if you could tell us what you see with Chicago that's different or similar from your experience there?
Marcus Glover: Yes. Sure. Happy to probably a little bit of correction. Never Detroit, you're probably referencing Cleveland when we opened there. But I think a couple of differences. One is, obviously, the Chicago market is much larger in terms of the penetration opportunity we'll have at our disposal. And so if I had to separate between what we think will be a very successful temporary casino and how we think our prospects will play out for the perm, we feel that we'll appropriately rightsize the perm such that we can leverage Chicago as an anchor city to generate some tourism and national visitation. But obviously, within probably a 50-mile radius, you're probably looking at actually much less than that 20-mile rate is you have several million -- I'd say 2 million to 3 million people to penetrate from. And one of the things we were talking to earlier in the week is just our existing database in the Chicago market that is part of the Bally's family that we'll be able to penetrate and speak to immediately. And so we feel pretty good about the prospects of both the temporary facility as well as we migrate toward operating the permanent facility. We were fairly, I think, conservative with where we think that performance will be. And we're obviously looking at what George and the team has been able to do with properties that don't fit the development mode of what we'll build in the Chicago perm. I feel pretty confident that these guys will be able to use that facility and maximize its potential.
David Hargreaves: Okay. Great. And then lastly, in the presentation, it looks like you guys have changed the format for the International Interactive segment reporting. I just want to say the -- I found the additional transparency in detail, I thought that was very helpful. I hope you guys will consider putting it in going forward.
Operator: At this time, we have no further questions in queue. I'll turn the call back to management for any additional or closing remarks.
George Papanier: Thank you all for listening, and we will be speaking to you with any major updates for you soon.
Operator: Thank you. This does conclude today's Bally's Corporation Second Quarter 2023 Earnings Conference Call. You may disconnect your line at this time, and have a wonderful day.